Operator: Good morning, everyone. Thank you for standing by, and welcome to the Volaris' Third Quarter 2019 Financial Results Conference Call. [Operator Instructions] Please note this event is being recorded.At this point, I would like to turn the call over to Ms. Maria Rodriguez, Volaris' Corporate Finance and Investor Relations Director. Please go ahead, Ms. Rodriguez.
Maria Elena Rodriguez: Good morning everyone and thank you for joining the call. With us today is our President and CEO, Enrique Beltranena; our Airline Executive Vice President, Holger Blankenstein; and our Vice President and CFO, Sonia Jerez. We will be discussing the Company's third quarter results announced yesterday. Afterwards, we will move on to your questions. Please note that this call is for investors and analysts only. Any questions from the media will be taken separately.Before we begin, please let me remind everyone that this call may include forward-looking statements within the meaning of applicable securities laws. Forward-looking statements are subject to several factors that could cause the Company's actual results to differ materially from expectations for reasons described in the Company's filings with the U.S. Securities and Exchange Commission. Furthermore, Volaris undertakes no obligation to publicly update or revise any forward-looking statements.It's now my pleasure to turn the call over to Volaris' President and CEO, Mr. Enrique Beltranena.
Enrique Beltranena: Thank you, Maria Elena. Good morning everyone and thank you for joining us today.As published in our earnings report release yesterday, Volaris delivered a strong quarter performance that is the result of a solid team effort which includes all of our ambassadors and the company management. Let me begin with some key facts and data of the third quarter.EBITDA margin improved by 7.6 percentage points versus last year closing at 34.6%. Total operating revenues increased by 30% year-over-year. Total ancillary revenues increased 36% year-over-year. Volaris ancillary revenues for passenger increased 14% a new high level. TRASM continues improving 11% year-over-year. Total ASMs grew 17% in line with our stated guidelines. The RPMs increased by 19% and load factor for the quarter was 85%.Domestic load factor was 87.5% and Volaris sustained it’s number one position in the domestic market. International load factor of 80.1% shows is steady transfer in the market, but we experienced stronger loads in our VFR traffic segment. The most important one CASM ex-fuel during the quarter was [Ps.1,399 million] and on time performance is on track and scheduled reliabilities of 98.9%.Volaris retained its place of most punctual airline in Mexico. Return of investment capital pretax of 21% at the end of the quarter and earnings per ADS year to September end at $0.68.There are three main achievements supporting Volaris’s growth in the last 12 months. The first one, we think Volaris network in terms of capacity deployment and expansion cost a complete structure a network change in the market. Volaris now has the strongest point-to-point network, schedule offers and frequencies in the domestic market.Volaris is the only carrier in the history of aviation in the country. I want to repeat this number, only carrier in the history of aviation in the country that has transported over 20 million passengers during the 12-month period. In the last 12 months on top of that TRASM improved 11%.[Indiscernible] capacity growth driven by [indiscernible] induced two of our main competitors to downsizing the domestic market and to instead focus on the international operations. We believe Volaris can continue growing at a higher pace than our high cost competitors given our sustainable cost structure, our unbundled pricing strategy with constant growth in ancillary revenues, and our focus on flying in on the penetrated air travel market, which has been augmented by Mexico's expanding middle class.The second reason is that the competitive environment has been rationale in both the domestic and the transporter market. The grounding of the Boeing 737 MAX aircraft and Sukhoi flight in Mexico has reduced certain segments of capacity.Some of our main U.S. and Central American competitors have redeployed capacity to other geographies and all-in-all both markets have enjoyed a better based fair environment due to a much more stable capacity.We know that the lowest unit costs always weak. Volaris turnover cost position in our cost trends and main differentiator going forward is this lowest cost. This gives us an advantage and enables us to keep growing at a fast pace with the right fleet.And the third reason is that from the macroeconomic perspective, Volaris continuous benefiting from a certain economic factors which are two largest models, such as remittances, employment, consumer confidence, jet fuel price and foreign exchange remains stable in the last quarter so we think we can keep on performing the way we are performing.We plan to finish the current year with an ASM growth of 17% and for a full year EBITDA margin in the ballpark of high 20s, assuming current foreign exchange rate and fuel prices remain stable for the rest of the year.For 2020 we expect higher capacity into the market, mainly due to the return of the Boeing 737 MAX and additionally we'll share some softness in the private investment in Mexico, which is impacting the GDP. Therefore, we're planning lower growth than in 2019 and estimate an ASM growth of 10% for 2020.The spending on TRASM strengths which foresee an up or down 2% that spawns flexibility and capacity and most of this capacity will be added to our core markets and we will continue to improve utilization of assets resulting in healthy capacity growth.Now, I would like to turn the call over to our Airline Executive Vice President, Holger Blankenstein to comment further on extraordinary results of Volaris during the third quarter. Holger please.
Holger Blankenstein: Thank you, Enrique.The numbers speak for themselves but let me take you through a little bit more detail. We are observing a healthier competitive environment as Enrique mentioned earlier in the call. This combined with strong market demand in Volaris's core markets result in higher TRASM.Turning to specifics on Volaris performance. ASM growth was 17% in the third quarter in line with our previous guidance as a result of high utilization, new routes and the focus on core markets. We have taken advantage of the new capacity by allocating it to core markets and spread operations over more hours of the day. This allows us to increase the percentage of night flights, which are especially popular within the VFR core customer segment.Domestic ASM goals for the quarter was 15%. VFR traffic and the bus market remained the most important drivers of growth. Volaris fares in the buses over six hours are lower than the bus fares and 26% of our capacity is now only competed against the buses.We have been diversifying our point-to-point network connecting the dots between existing stations. This year, we added just one new station taking advantage of economies of scale in current airports. We are expanding our presence in medium sized cities that did not have a strong network, building on our success in Guadalajara and Tijuana. Volaris now serves 122 routes in Mexico.In the international markets, our ASM capacity growth was 21%. We continue observing a more sustainable transporter market. The VFR segments shows solid demand, supported by remittances from the U.S. Volaris now serves 69 international routes.Capacity in Central America represented only 3.4% of total ASMs by the end of the third quarter. The region is maturing well and contributing to our U.S. dollar denominated revenues. In the third quarter we started operations on two new international routes from existing stations in Central America in order to continue developing our point-to-point services and attracting first-time flyers. The codeshare with Frontier is maturing according to our plan. During the third quarter it represented 2.7 percentage points of low factor on U.S. routes.During the third quarter of 2019 total ancillary revenues reached MXN 3 billion an increase of 36% year-on-year and now represent 32% of total operating revenues. We have been working on our new ancillary profit maximizer tool. This is an automated pricing tool that seeks optimal pricing to ancillary products through artificial intelligence. Whilst we are still on our learning curve it has already demonstrated that we are able to identify and offer customers what they need and price those products using the smart algorithm with current supply and demand.Regarding our travel experience platform YaVas we have been validating the business model and is performing in line with expectations. Today our membership program Vpass and Vclub and the cobranded credit card with a local bank in Mexico allow us to both engage and offer benefits and discounts to our frequent travelers. This alongside our strategy of offering the lowest base fares has allowed Volaris to generate in our own way a base of core customers without the high costs associated with a traditional loyalty program.The rise in ancillary revenues enables us to continue to offer the lowest base fares, stimulate volume and to grow CASM which has increased 11% year-over-year for the third quarter. We believe Volaris can further expand not only its revenue base but also the bus switching market through the improvements in our digital channels. The company uses social media strategies to attract first-time flyers and new generations to the business.Through social listening, algorithms and patterns we are generating new initiatives to improve our customers experience at the moment of purchase during their flight and after they arrive at their destination. More than 25% of our total sales are made through the mobile phone which reinforces our lowest unit cost structure. Digital initiatives such are Facebook chatbot which customers can use instead of the traditional call center also contribute to our low cost business model.We're investing in an upgrade of our digital channels in order to make Volaris.com much faster and easier to use with an additional focus on mobile only buyers. We are also in the process of adding functionality to the Volaris app to facilitate a mobile only self-service customer experience which in time will also reduce customer service costs.We are especially pleased with the strength of the VFR traffic. Therefore we are now planning ASM growth for the fourth quarter in the high teens for the entire network relatively evenly split between international and domestic growth. It is important to highlight that we are planning to achieve it through healthy capacity growth which means a high utilization of existing assets. We're keeping up the year with a positive revenue momentum and delivering margin improvements.Looking forward to 2020 we plan to continue to grow around 10% in terms of ASMs with the balance between the domestic and the international market. However, for the first quarter 2020, this number maybe higher due to a lower base comparison for the first quarter of 2019. We’ve currently planned a fleet growth of only five net additional aircraft and we will monitor market conditions closely for potential more additions during the year.Now I'd like to hand it over to our Vice President and CFO, Sonia Jerez to further discuss our financial performance for the quarter.
Sonia Jerez: Thank you, Holger.I will now review the financial highlights of the third quarter. To start CASM ex-fuel closed at 3.99 U.S. cents were the most important drivers worthy to first why the healthy capacity increase in ASMs was driven by higher utilization of our fleet. The average aircraft utilization for the quarter was 13.2 block hours per day an increase of 0.6% year-over-year.Second the operation of right size fuel efficiency comprising one single aircraft family type with an average of 186 seats per aircraft were 26% of the fleet is equipped with Neo technology. Third the continuous companywide cost reduction program with initiatives implemented in headcount reduction airport suppliers among others. So total CASM was 6.36 U.S. dollars cents for the third quarter a 2.6% reduction over last year.During the third quarter Volaris received a positive response from the domestic jet fuel standard previously launched. We are able to renegotiate the transfer cost and reuse the previous increase by one-third from our domestic fuel supplier.Moving to cash net cash flow from operating activities for the third quarter was MXN 2.2 billion. Cash and cash equivalents for the third quarter closed at MXN 7.8 billion. This represents 24% for the last 12 months operating revenues. The adjusted net debt to last 12 months EBITDA margin was 4.At the close of the third quarter 2019 the Mexican peso had depreciated 4% against the U.S. dollar compared to the end of the third quarter 2018. Nevertheless the company’s third quarter U.S. dollar dominated collections were 43% partially helping us to insulate the company from exchange rate pressures and reflecting our effort to have a natural hedge from a diversified network.Looking at the last quarter of the year, we have system field hedges for 3% of the expected jet fuel consumption through Asian call options. We have already started building our hedging position for 2020 we have 20% coverage of the expected jet fuel consumption for the year through zero cost calls.Regarding our margins we met our previous guidance for EBITDA margin in the third quarter reaching 34.6% or MXN 3.3 billion and 17.9% EBIT margin or MXN 1.7 billion. Net income margin for the quarter was 7.5% or MXN 713 million. In terms of fleet during the third quarter we added to A320 Neo aircraft to our young and fuel efficiency. We ended the third quarter at 80 aircraft versus 77 at the beginning of the year.Finally I would like to mention that in the fourth quarter we will receiving one A321 Neo and one A320 Neo. We will close the year with 82 aircrafts.Okay now I hand the call back to Enrique for closing remarks.
Enrique Beltranena: Thank you, Sonia.Volaris wants to reinforce its commitment to ensuring value for our shareholders and for our customers by having a strong and driving airline. We work hard but at the same we have a lot of problem and we have built a strong company culture with a dynamic delivery focused team does things differently, efficiently and well aligned to our mission. With the best people and lowest costs, we enable more people to travel and travel well.Thank you to all the Volaris ambassadors for their passion, commitment, and deliveries of this quarter. Here we are after 15 months of continuous improvement, the company's main metrics continued while before. These numbers are proved of their efforts made by all of our ambassadors, our management team and our Board of Directors. And for this I've thank them.Thank you for listening to this call. And now operator, we’re ready to take the questions from our online analysts. Please go ahead.
Operator: [Operator Instructions] And our first question comes from Helane Becker from Cowen. Please go ahead.
Helane Becker: So, well done guys on this quarter. Just a couple of questions. In terms of - I think someone said you had five aircraft coming in next year. Is that like final? Is there any ability to grow more with more aircraft next year? That's my first question, and my second question is, do you have estimate for CASM-ex for 2020? Thank you.
Enrique Beltranena: Thanks, Helane. Thank you for listening to our call. Look the five aircrafts is a net number from deliveries first, and the second is as I said, we really want to pay attention to TRASM and we can still grow up about 2% off if needed, okay. But we want to really stick to the number we have now. Next year, it's going to be a difficult year for deliveries from aircrafts both in Airbus and Boeing, so we need to pay attention to that delivery schedule and how it goes.The second thing which is important Helane is what we sell in terms of the Boeing back. So I would strongly say that we need to watch out what is going on. We don't want to overload capacity into the market and we want to be very capacity conscious for next year. Finally, on CASM, we still don't have a view for next year.
Operator: And our next question comes from Michael Linenberg from Deutsche Bank. Please go ahead.
Michael Linenberg: Just a couple here and this is just sort of a small housekeeping items. Sonia, you talked about the fuel hedge 20% for 2020. Can you tell us is that uniform or is it higher at the start of the year and maybe any sense of where those colors have been struck? Thank you.
Sonia Jerez: It is uniform along the year.
Michael Linenberg: Okay.
Sonia Jerez: For 20% each quarter.
Michael Linenberg: Okay. And any sense - a sense of maybe where the strike or sort of where that color is that range?
Sonia Jerez: Yes. For sure. So we have the average strike price of options is 1.64 and 1.82.
Michael Linenberg: Okay, great. Just second question Enrique, I think in your comments you talked about your percentage of night flights have increased? Obviously, the VFR market likes those flights, where is current utilization on the Airbus fleet today and where do you - where can you take that? Can you can you get that to somewhere between 13 and 14 hours, is that - what's the right level for your fleet?
Enrique Beltranena: Yes, Michael. So absolutely the utilization right now on the average of the years is 12.8 hours for the entire fleet. We believe that we can take that up closer to 13 hours in the following year.
Michael Linenberg: Okay.
Enrique Beltranena: And - 13 - sorry - correction 13.2 hours.
Michael Linenberg: Okay.
Enrique Beltranena: That was for the third quarter. On average for the year it is 12.8. For the third quarter, it was 13.2, so we manage our utilization quite seasonally, so in the high season in the highest days of high season, it can go up to 14 hours. And then in the low season February and September, it would go below the 13 hour mark. But we continue to work on a high utilization, and we believe that we can help that next year just a little bit more.
Michael Linenberg: And then just my last question, and I normally won’t ask this to speak about competitors, but I do find it interesting that two carriers that I view as being very successful airlines have completely withdrawn from Mexico City. And I - whether it was Southwest pulling out of that market, and I think that there was the comment or the criticism was that maybe their systems didn't allow them to capture the market as they wanted to capture when they went into it. But then to see Jet Blue pull out of four different city pairs effective early January. I understand when airlines that are financially weak, can't sustain a market, but I would have thought that for at least one or both of these carriers like Houston Mexico City or JFK Mexico City would have been strategically important markets and that they would remain in them.Just from your side, I mean, I know that your lower costs you one of the lowest cost carriers out there and you're certainly lower costs than southwest and Jet Blue, but the fact that they couldn't make those markets work and I don't know if it's that there's too much competition or maybe the relative costs are too high. Any comments that you see on why even some of the more successful carriers are just - are withdrawing from a big market like Mexico City. They can't make it work. Enrique that's to you
Enrique Beltranena: Look, we normally do not comment about competition, but I mean, let me answer I think the cost difference is doing a hell of a change in the market. Okay. And I think what you started seeing in the domestic market and how the lowest cost operators already dominate more than 50% of the markets and it has the leadership of more than 50% of the market, it's starting to happen in the international market. Okay. And differences of past versus those two carriers are 65% or more.So I strongly think that what you're seeing is exactly the same move of what you saw in the domestic market. On the other side, I think the Mexico City Airport continues being a hell of a challenge.
Michael Linenberg: Yes. It's a tough airport to operate out of. Is there - do we have a solution on the horizon? Santa Lucia is that do you think that that is a feasible solution?
Enrique Beltranena: Look, the company has been growing its traffic in a very nice way and we have outperformed financially and TRASM continues to be very strong in general. We are watching very carefully the development of the Santa Lucia plan. The government recently presented the strategic plan to us and we do have now more information.Construction hasn't even started. And we see this in horizon which is still not clear for us. But we think that we are an airline, which has a low cost structure and additionally we think that not being in the most important hop, it's always helpful for a ultra low cost carrier. So we're looking forward to see what happens with that project, although we don't see that project in the next three years happening. Okay?
Michael Linenberg: Yes.
Enrique Beltranena: In the meantime, we keep on working as much as we can, developing our capacity in our strong [indiscernible] related to Tijuana and Guadalajara and we continue reinforcing the point-to-point structure of the network, which is really bypassing the Mexico City in most of our cases. I just want to remind everybody that we are only less than 14% of the total seats that are installed in Mexico City and the company has outperformed so far despite not being in Mexico city.
Operator: Our next question comes from Duane Pfennigwerth from Evercore. Please go ahead.
Duane Pfennigwerth: Thank you, Enrique and team. So look high ancillaries high load factor that's been a part of the model. But I think the surprise for us has been more on the yield side. Can you talk about what is driving the improvement in yields is it more a function of transborder. Is it more domestic what do you see that is driving this improvement?
Holger Blankenstein: Duane, absolutely so I think it’s a little bit of both. As we just mentioned we are seeing some capacity reductions from competitors in the transporter market and that’s not only Mexico City that's also Álvaro and some other destinations in the center of Mexico that has clearly out. So we see a very robust VFR markets stronger emergencies from the U.S. which is an indicator for transborder traffic.And then the domestic market we seen high consumer confidence and that's driving the traffic for low cost carriers very good strength in the beach destinations in Mexico people going on vacation in Mexico with our airlines. So that is how demand in Mexico. So we seeing a little bit of both strong transborder market and a healthy domestic environment.
Enrique Beltranena: A good probably on airline what Holger said which is really important that despite our 17% year-to-date capacity growth we're still growing TRASM 11%.
Duane Pfennigwerth: It's very healthy for sure and then just on Central America, can you give us an update there how many of the net five aircrafts will be deployed to support that operation. And I know it's small today but to the extent that you have overlap with competitors that are restructuring what are you seeing in the marketplace as a result of that capacity reduction?
Enrique Beltranena: Look just two things I think are important to remind you guys I mean Costa Rican AUC in terms of flying to the U.S. remains frozen because of category downgraded perform by the SAVA authorities. So we are watchful waiting what’s going on there and we understand that there has been an important progress for the corrective action plan and we’re seeing positive towards the first quarter of next year.The second thing as - the SAVA carrier out and I asked how did will [indiscernible] agent authorities AAC and as a result the certification process to obtain their final operation permit is still on a temporary basis suspended. We strongly think we will resume the process once the local authorities are ready proceed. But bear in mind that this does not affect our current operations from Palo to U.S. or other destinations which are being flown by the Costa Rican AUC.So in general we are ready to keep on growing in Central America but we are leaving a challenge time from the regulatory perspective which we are supporting the authority in which we are supporting the authorities to really overcome it as soon as possible. And given the fact that we overcome decisions in the first quarter or sometime in the beginning of next year, we’ll be communicating to everybody what will be doing in terms of capacity.
Duane Pfennigwerth: Okay thank you.
Enrique Beltranena: Just to remind you Costa Rica AUC is still only represents 30.4% of our total ASMs. So it’s still small ratio.
Operator: And our next question comes from Josh Milberg from Morgan Stanley. Please go ahead.
Josh Milberg: My first question is if you could talk a little more about the issue of the fuel surcharges. I believe that Sonia mentioned the reduction by a third due to the latest tenders. And with our own back of the envelope calculations we did see a meaningful sequential decline but not back to the levels seen in 2018. So one of my specific doubts there was just whether we could expect to see a further decline of your inter-plane cost in the fourth quarter?
Sonia Jerez: Well as I mentioned Josh so and as you saying – the jet fuel tender that we launched we are able to reduce our increase cost by one-third. And this is going to be more clear in quarter four but I don’t think so I don’t think we will be able to further – with the current situation – for them to have further reductions in the coming year.
Enrique Beltranena: So in a nutshell what’s going on Josh is that Pemex has done an increment on the transportation costs mainly growth transportation costs. We are a heavy operator in the middle of the country in the northwest part of the country. And sometimes getting to our stations and since we have that big coverage that we have today we have that impact of the transportation of the fuel towards those planes okay.As Sonia said the negotiations that we did with [indiscernible] which is the main supplier for every airport in the country was a big challenge but she was able to manage a third of the reduction. But we are by no means back to the levels we use to be.
Josh Milberg: And my second question is if you could just review for us that your degree of overlap with Aeromexico and maybe touch on how much you think your RASM was boosted by your competitors scaling back of capacity in the domestic market just due to the MAX groundings.I ask that in part because it really hadn’t been so easy to explain that that the strength of your unit revenues this year even with all the factors that Holger highlighted in response to an earlier question. Just given that how tough the macro backdrop is right now?
Holger Blankenstein: So Aeromexico operates on about 80% of their ASMs for Mexico City international airport and Enrique mentioned previously we are more focused on other core cities [indiscernible]. Our current overlap in terms of ASM is about 50% and what we understand from the MAX groundings is that it affected more the international markets to the northern tip of South America for Aeromexico so it didn't affect the domestic market significantly.
Operator: And our next question comes from Stephen Trent from Citi. Please go ahead.
Stephen Trent: I just wanted to - appreciate the color on capacity growth for next year. If you could just kind of refresh my memory, what kind of ability does - do you guys have to maybe flex down in that 10% growth number in the event that competitive capacity kind of goes beyond the limit?
Enrique Beltranena: As I said Steve, the gain and I want to underline it once again the driver TRASM okay and the - and what I said is that we can go up a couple of points up but we can also review that a couple of points down, okay. The driver will be the behavior of the TRASM which bottom line is what drives profitability and return of investment for our investors.
Stephen Trent: Okay, that is very clear Enrique. Thank you very much. And just one other question if I may I mean kind of a follow-up on Duane Pfennigwerth question earlier. Within the Central America market competition wise, I mean we know there has been kind of one carrier out there undergoing a big restructuring what have you. But any granularity for example on what you're seeing from maybe the U.S. airlines pulling back in that area has that created any opportunity for you at all. Even as I recognized Costa Rica has this regulatory issue hanging over it
Enrique Beltranena: No Steve look, we are seeing the capacity from the U.S. carriers kind of stable, little bit growth, but kind of stable in the last nine months since because every issue was announced. We obviously has seen some reductions especially out of Guatemala. We entered the reduction of what was important number of routes out of Guatemala. The routes out of the Salvador which is their main hub has a minimum movement and I don't think they are being a reduced as part of the restructuring of their network.And finally, just to remind you Steve that we are visiting friends, relatives airline okay. And our capacity is driven by how the visiting friends and relatives move themselves within Central America to the U.S. And I think that's also remained kind of stable. And it's not related to business traffic, which is brought business traffic or tourism, which is pretty much what the U.S. main carrier’s drive into Central America.
Stephen Trent: I'll let someone else asked the question. I appreciate that Enrique.
Enrique Beltranena: So Steve which is really important to add to this is that the operation in Central America is already profitable and has been profitable for the whole year.
Operator: And our next question comes from Ruben López from Santander. Please go ahead.
Ruben López: I have two questions my first question is on ASM guidance for 2020. You mentioned that it could be adjusted according to the performance of TRASM. So just wondering, what is the TRASM level that you are considering as a base case scenario for your 2020 guidance. And at what point would you consider to adjust the plus minus 2% of capacity? Thank you that's my first one.
Holger Blankenstein: We're planning to sustain our TRASM levels for the next year. We clearly have never given a guideline on it. What we're trying to say is that we will really reinforce the fact that TRASM has to be sustainable, and capacity will be driven by that. The amount of results show no incremental capacity based on the movements of the TRASM.It's going to be somehow very close to what we did this year. I mean, this year our TRASM all over in the year improved 11%, our capacity went up 17% okay. As I said we can play with the capacity especially because of utilization going up or down, but – the couple of points is where we think we can be.
Ruben López: Okay, you’re really clear. And the second one sorry if I miss this, but can you give us the ASM guidance for the next quarter I got the ASM growth at high teens but in terms of margins of course, are you giving any indication here?
Holger Blankenstein: No, we gave you the ASM guidance for the third quarter, which is in the high teens and we're going to close the year with a 17% total ASM growth for the year and – that’s it.
Operator: And our next question comes from Matthew Wisniewski from Barclays. Please go ahead.
Matthew Wisniewski: So I just wanted to kind of look at margins after, really strong margin performance this year. And I appreciate the commentary on having some flexibility on the growth plan. But, I'm trying to think if we can keep revenues kind of consistent or even if there's some cautionary growth given some additional growth coming into the market.Is there potential for improvement on the cost side? Now you've laid out a few initiatives could that potentially offset and maintain this level of profitability heading into next year.
Enrique Beltranena: Look, there is a combination of two or three factors that can impact, okay. We provided the jet fuel and exchange rate remains stable or is that and augmenting that the equation is stable. The rest of the costs can be maintained at the level they are. Next year, I mean, as we start going forward, we are accelerating our returns and exchanging those aircrafts with new fleet which produces an 18% cost reduction in terms of fuel.So the delivery costs are implementing as we incorporate the new fleet, but then on the other side will compensate with a lower fuel costs. So in general, we think that we can maintain our equation and Sonia has implemented a new plan which has been driven by [indiscernible] and we will keep on doing reductions on parts and the rest of the issues, of the rest of the lines, so we can compensate the return costs.
Matthew Wisniewski: And then I was just hoping that maybe you could share potentially a little bit more information on Vpass it's kind of a unique program. If you just look at airlines globally, just know if - have you had a competitive response? How large was the growth like any details you can provide would be helpful?
Holger Blankenstein: Well, Vpass is a membership program where it's basically a 12-month subscription. So we lock in customers for a 12-month period, and we give them really, really cheap fares for one flight per month. That has been taken off very positively by the market. It's a program that we're pushing, we're growing and we currently are going the membership base.The more important program that we have is the Vclub, which is a one year membership that gives you access to discounts on the public fares. And then we have a substantial amount of members.
Operator: And it does appear there are no further questions over the phone at this time. I'd like to turn it back to the speakers for any closing remarks.
Enrique Beltranena: So thank you very much to everybody. Thanks to our ambassadors again, and thanks for your questions, your interest and thank you very much for following this track of 15 months of improvement of results. We will keep on performing and we thank you very much again to everyone. You can end the call now operator, please.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.